Operator: Welcome to the Wynn Resorts Second Quarter 2025 Earnings Call. [Operator Instructions] This call is being recorded. If you have any objections, you may disconnect at this time. I will now turn the line over to Julie Cameron-Doe, Chief Financial Officer. Please go ahead.
Julie Mireille Cameron-Doe: Thank you, operator, and good afternoon, everyone. On the call with me today are Craig Billings and Brian Gullbrants in Las Vegas. Also on the line are Jenny Holliday, Linda Chen and Frederic Luvisutto. Please note that we published a presentation to provide more color on the company and recent performance ahead of this call. You can find the presentation on our Investor Relations website. I want to remind you that we may make forward-looking statements under safe harbor federal securities laws, and those statements may or may not come true. I will now turn the call over to Craig Billings.
Craig Scott Billings: Thanks, Julie. Good afternoon, and as always, thank you for joining us. I'm incredibly proud of our second quarter results. Wynn Las Vegas continued to be an outstanding performer on the strip, and we were pleased that EBITDAR in Las Vegas grew to a new second quarter record, up 2% year-over-year to nearly $235 million. Adjusting for hold, that number would have been even higher at $246 million. Demand was healthy throughout the quarter with impressive increases in both drop and handle driving a 14.5% increase in total casino revenues, a reflection of our ability to continue to take gaming market share. We were also pleased to grow REVPAR a little over 1%, and we saw continued strength in retail. More recently, the business in July saw continued momentum in the casino with drop and handle both up versus July 2024, and strong retail sales. In the hotel in July, we had very strong weekends with softer midweek. In response, we prioritized midweek rate over occupancy, consistent with our premium positioning and made operational adjustments tied to occupancy levels. Looking ahead, while macroeconomic uncertainty, including tariffs, remains a consideration, we remain positive about the business in Las Vegas. We saw the forward booking pace accelerate as July progressed, and our group and convention business looks strong heading into the fourth quarter and 2026. 2026 is shaping up to be a record year for both group room nights and revenues. On last quarter's call, we talked specifically about the uncertainty in the tariffs that introduced into some of our development plans, primarily in Las Vegas. Subsequent to that call, we revised our sourcing and procurement plan for the Encore Tower Remodel in Vegas. And I now expect we will kick off that renovation in spring 2026 with minor disruptions during the renovation period. Encore Boston Harbor generated $64 million of EBITDAR, up about 3% year-on-year. Casino revenues grew over 5% year-over-year, driven by strength in both tables and slots. More recently, demand in Boston remained healthy in July with total casino revenues roughly flat to last year. Macau delivered solid results in the quarter, though we were impacted by lower-than-normal VIP holds. During the quarter, we saw a steady April and strong June, offset slightly by a more subdued May. The business generated $266 million in VIP normalized EBITDAR with unfavorable VIP hold costing us nearly $13 million. Volumes were up nicely in the quarter with mass drop up 3.6% year-on-year and VIP volumes up meaningfully versus Q2 2024, though mass hold was a bit lower than we would like, particularly in May. Volumes accelerated further in July, which was a standout month despite some weather disruption with drop up year-on-year and sequentially versus June. For June and July combined, we generated normalized EBITDAR of $3.3 million per day, which we've normalized to account for high hold during that period. The premium segment continues to lead the market forward in Macau. To further enhance our premium positioning, we have recently initiated 2 key capital projects, an expansion of the Chairman's Club gaming area at Wynn Palace and a refresh of our Wynn Tower rooms at Wynn Macau. While we expect some minor disruption toward the end of the year from these projects, once they are complete, we expect they will further elevate our offerings at both properties. Wynn Al Marjan Island continues to progress rapidly. We are pouring the 61st floor and on track to top out the tower later this year. We've also finalized several important food and beverage partnerships and agreed to key terms with a number of high-profile retail tenants. We remain on track for our targeted opening date of Wynn Al Marjan Island and continue to believe it is the most compelling development opportunity in the industry. Wynn Al Marjan will be the only property operating in what many analysts are predicting will be a $5-plus billion gaming revenue market. As I have said before, our future is bright. And to that end, we purchased $158 million of stock in the second quarter at a weighted average price of just under $79 per share. I'll now hand it over to Julie to run through some additional details on the quarter. Julie?
Julie Mireille Cameron-Doe: Thank you, Craig. At Wynn Las Vegas, we generated $234.8 million in adjusted property EBITDAR on $638.6 million of operating revenue during the quarter, delivering an EBITDAR margin of 36.8%. Low hold negatively impacted EBITDAR in the quarter by $11.4 million. OpEx, excluding gaming tax per day, was $4.2 million in the quarter, up 1% compared to the prior year due to normal wage inflation from our union and nonunion areas. As Craig mentioned earlier, we're pleased to be resuming our Encore Tower Remodel with construction set to begin in spring 2026 with an estimated spend of $330 million, which we expect to take about a year to complete. Turning to Boston. We generated adjusted property EBITDAR of $63.9 million on revenue of $215.7 million with an EBITDAR margin of 29.6%. Casino revenues grew 5.2% year-over-year, and we maintained our discipline on the cost side with OpEx per day of $1.15 million, flat to Q2 2024 despite continued labor cost pressures in that market. The Boston team has continued to do a great job of mitigating union-related payroll increases with cost efficiencies in areas of the business that do not impact the guest experience. Our Macau operations delivered adjusted property EBITDAR of $253.7 million in the quarter on $883.5 million of operating revenue, resulting in an EBITDAR margin of 28.7%. Lower-than-normal VIP hold impacted EBITDAR by a little under $13 million in the quarter. OpEx, excluding gaming tax, was approximately $2.66 million per day in Q2, up 4.5% year-on-year, with the increase driven primarily by the Gourmet Pavilion and normal course cost of living increases. The team has done a great job in staying disciplined on costs, and we remain well positioned to drive strong operating leverage as the market continues to grow over time. In terms of CapEx in Macau, as Craig mentioned, we've initiated 2 projects, an expansion of the Chairman's Club gaming area at Wynn Palace and a refresh of our Wynn Tower rooms at Wynn Macau. And together with our other ongoing CapEx projects, we expect to spend a total of $200 million to $250 million in total for 2025. Moving on to the balance sheet. Our liquidity position remains very strong with global cash and revolver availability of $3.6 billion as of June 30. This was comprised of $1.8 billion of total cash and available liquidity in Macau and a little over $1.7 billion in the U.S. Subsequent to quarter end, we announced an upsize of our credit facility in Macau, where we added $1 billion of additional undrawn revolver capacity from a number of new lenders, providing significant additional liquidity and flexibility to our balance sheet and indicating the strong confidence and support of our lenders in the market. The combination of strong performance in each of our markets globally with our properties generating just over $2.2 billion of LTM adjusted property EBITDAR, together with our robust cash position creates a very healthy consolidated net leverage ratio of just under 4.4x. Our strong free cash flow and liquidity profile also allows us to continue returning capital to shareholders in both Macau and the U.S. To that end, Wynn Macau recently increased its final dividend for 2024 to approximately $125 million, which was paid in the second quarter. In addition, the Wynn Resorts Board has approved a cash dividend of $0.25 per share payable on August 29, 2025, to stockholders of record as of August 18. During the quarter, we repurchased 2 million shares for approximately $158 million. These share buybacks, together with our recurring dividend, highlight our focus on and continued commitment to prudently returning capital to shareholders. In terms of CapEx, we spent approximately $165 million in the quarter, primarily related to the Fairway Villas renovations and F&B enhancements in Las Vegas, concession-related CapEx in Macau and normal course maintenance across the business. In addition to that figure, we contributed $58.2 million of equity to the Wynn Al Marjan Island project during the quarter, bringing our total equity contribution to date to $741.1 million. During the quarter, we continued drawing Al Marjan construction loan with a drawn amount to date of $395 million. We estimate our remaining 40% pro rata share of the required equity is approximately $600 million to $675 million. With that, we will now open up the call to Q&A.
Operator: [Operator Instructions] Our first question comes from Dan Politzer with JPMorgan.
Daniel Brian Politzer: First, I wanted to touch on Las Vegas. It was very strong in the quarter, clearly outperforming the market by a wide range. How much of this outperformance do you attribute to positioning at the high end of the market, which is where your property sits versus some of the operational pivots that you've made? And looking ahead, what are your expectations for third quarter and fourth quarter, just given some of the comments that we've heard thus far this earnings season?
Craig Scott Billings: Sure. Thanks. I'll start, and then I'll ask Brian to comment as well. It's a lot of things. I mean, certainly, being at the luxury end of the market helps and our premium positioning absolutely helps. And I think that's the most resilient component of the customer base. But we've really spent the past 3 years -- 3-plus years, really doing everything we can to make sure that the building is in tiptop shape, making sure that we're programming the building appropriately and that we're driving the gaming business and that we're taking gaming share. We've grown a couple of hundred basis points of gaming share over that period. So it's a whole bunch of things. It's a bit of a river of nickels, if you will. And I'm incredibly proud of where we are. Brian, do you want to comment on Q3 and the rest of the year?
Brian Gullbrants: Yes, the team continues to accelerate. Booking pace continues to look actually quite good. July, we saw some of the best bookings we've seen all year. It's really a combination of the sales team, the casino marketing team and everybody coming together to really focus on the revenue side and then the ops team really focusing on making sure that we have the right amount of staff for the right amount of business, really just dialing in the business so that we can continue to excel as we move into fourth quarter, which we are very bullish about.
Craig Scott Billings: Yes. As Brian mentioned, the booking pace -- and I think I mentioned it in my prepared remarks as well, the booking pace -- the lull in Vegas over the summer has been well publicized. And as I mentioned in my prepared remarks, that was also the case for us midweek, and we really focused on average daily rate as opposed to occupancy, and that's worked really well for us. But the booking pace in July did accelerate over the course of July. I think you've heard that actually from a couple of our competitors as well. And our group business in Q4 looks really good.
Daniel Brian Politzer: Got it. And then just a follow-up on Macau. Certainly, the market seems to have inflected here the last couple of months of industry GGR has accelerated and it seems like you participated in that. What do you attribute that inflection to? Is that -- are you seeing a difference in terms of the actual fundamentals, the customers that are coming, the spend per customer? Or is it a function of the entertainment or calendar?
Craig Scott Billings: Yes. Again, kind of similar to my response on your Vegas question, it's a little bit of everything. Certainly, entertainment and the entertainment that's been in the market has played a role. But even subsequent to those concerts, which happened in late Q2, I believe, we've seen strength in the market in July. And so it's been great to see. I quoted our EBITDAR run rate over the course of July, and we're incredibly proud of that. And we can't -- we tend to not provide guidance or look further out than we've seen. So all I can really tell you is what we've seen in July, and it was good.
Operator: Our next caller is Steve Pizzella with Deutsche Bank.
Steven Donald Pizzella: Does the Big Beautiful Bill make you think any differently at all about some of the potential domestic CapEx projects that you've talked about in the past in both Vegas and I guess, in Boston?
Craig Scott Billings: Julie, do you want to take that?
Julie Mireille Cameron-Doe: Sure. I mean there are certainly some corporate tax provisions in the bill that will benefit us when you think about the depreciation side of things and interest deductibility. But that's really for us, it's going to be primarily in 2028 and beyond. So nothing really immediate that would cause us to change course with how we're approaching our CapEx programs.
Steven Donald Pizzella: Okay. And then are you just able to comment on 4Q Las Vegas group pace? And any early commentary on expectations for Formula 1 this year now that we're year 3, I believe. Any lessons learned from the past 2 years?
Craig Scott Billings: Brian?
Brian Gullbrants: Sure. Q4 as well as Formula 1 are both pacing quite well right now. And that continues -- that volume in inertia continues into '26 and beyond. So we're very bullish on where we sit with Q4 and F1 is much improved over last year. We're seeing that through corporate bookings and early corporate bookings, and we're maintaining the rates unlike some of our competitors. So it's the strength of the brand and what we do that allows us to do that.
Operator: Our next caller is Lizzie Dove with Goldman Sachs.
Elizabeth Dove: Sticking with Vegas, I wonder if you could go a bit deeper and just in terms of the consumer pulse check. We've heard there's been mixed trends between domestic versus international inbound. And then once people are in the hotels, are they spending in the same way? What are you seeing on the food and beverage and the kind of incremental side of things? Would just love to know if there's kind of been differences there.
Craig Scott Billings: Sure. Happy to talk about that, and thank you for the question. We sit in a unique position. We're not the best barometer of Las Vegas writ large. We're the best barometer, I think, of a very particular portion of Las Vegas. So -- and also, I'd also say we've never been about how many people are in the building, although that's been fine. We've been about who's in the building, very particular people in the building. And so I would say over the course of Q2 and really into July, as I mentioned in my prepared remarks, casino volumes have been very, very good. That's always going to be disproportionately high end. So we haven't seen any diminishment in the willingness to spend at the tables and the slots. We've been able to hold rate, which is a good indicator of demand for what we offer. And we've been able to do that in a market where rates have dropped. And so I think that's a testament to where we are. You specifically asked on the food and beverage side, average check in our fine dining restaurants, which again, I think would be the most sensitive, has been pretty stable. And so I don't think that's an indicator. So we'll see how things play out from a macroeconomic perspective. But right now, we're feeling good.
Elizabeth Dove: Great. And then just switching to Wynn Al Marjan. I'm curious, as we get closer to the Investor Day, closer to the launch, not too far from now, I mean, how do you think about ways that you can set yourselves up for that early 2027 launch for success? I saw you hire new team members. You've got the Wynn Mayfair acquisition. But what are the kind of things and building blocks you can put into place to put you in the best position for when that eventually opens?
Craig Scott Billings: Yes, it's a great question. I'll be honest, most of that is not transparent to you all, but it's a day-to-day effort on our part. I mean we're building and opening much like any integrated resort. We're building and opening a small city. And there's a ton of infrastructure that we have to put in place even outside of the building. So I think the best thing that we can do is expose the total addressable market opportunity expose the quality of the product that we are creating here. It will be uniquely win and will be reflective of our legacy of delivering just astounding physical spaces and educate people on what the opportunity is. But all the hard yards of getting to the point where we can squeeze every dollar of EBITDAR out of that place that we possibly can, that's our job every single day. So I hope that folks attend -- the folks that have been invited, I hope they attend that Investor Day there. I hope they can see what we're up to and see the absolute power of what is happening in that market in Dubai and in the UAE.
Operator: Our next caller is Stephen Grambling with Morgan Stanley.
Stephen White Grambling: Just wanted to follow up a bit on expenses. First, on Vegas, it looks like you were able to keep costs relatively contained in the very low single digits. Curious if there was any timing of costs in there or other puts and takes to think about? Or is this just a proof point for managing the expense structure? And effectively, the same question around corporate expenses, which I think were down year- over-year.
Julie Mireille Cameron-Doe: Thanks, Stephen. Yes, I'll take that. Really, on the expense side, we just do -- we continue to manage it very diligently and judiciously. The teams across the globe really focus on that. They focus on making sure they're looking at what's coming up and making sure we're staffed appropriately, and we have a great flexible approach to that. So we're able to dial things up and dial things down in line with volume. And we take it very seriously, and we manage to that. And I think we always comment on the fact that we do it in a way that doesn't impact the guest experience, but it is a focus for us. On the corporate expense side, nothing unusual going through there other than we did have our 20th anniversary in the quarter. So you'll see there were some costs involved with that celebration from an event perspective, but also on the equity side as well, there were some one-off grants associated with that to our day 1 employees.
Craig Scott Billings: And I would just add that Brian Gullbrants just threw his phone against the wall when you asked that the expenses in Vegas were timing oriented. These guys work really hard, I mean, day by day to make sure that from an expense and staffing perspective, we are exactly where we need to be, threading the needle of the brand and EBITDAR. And it's a real testament to their ability to manage these businesses and manage them really, really, really well. And that's true in Macau, and it's certainly true in Boston as well. On corporate expense, it is timing. And it often is timing because you get -- it's substantially more lumpy.
Stephen White Grambling: Makes sense. That's helpful. And then one follow-up on Macau. Just given the strength of the market, you did mention it's all about getting the right person in the seat in Vegas. I imagine the same is fairly true in Macau. Maybe you can elaborate on who is coming into the market in Macau. Is it skewed to specific submarkets within China versus Hong Kong? Is it new customers versus returning younger or otherwise?
Craig Scott Billings: Sure. Yes, I think we've mentioned on previous calls that we've seen a very large influx post-COVID, post reopening of new customers into Macau. So certainly, there's been a lot of high-quality premium mass play. I think the mix of customers has been pretty consistent with what we've seen since the market reopened. And so I don't think there's been a sea change per se in who's showing up. But the results in the market have been good, and we're delighted with it.
Operator: Our next caller is David Katz with Jefferies.
David Brian Katz: I wanted to go back to Macau. One of the items that comes up in conversations and checks, et cetera, is promotions and credit. I'd love to get your sort of perspective on what's happening in the market and how you deal with that? And second, entertainment seems to be a big driver there. I'd love to get a sense for, again, what your perspective is and what your participation is in any of that going forward.
Craig Scott Billings: Sure. On the reinvestment side, and we've discussed this a little bit on prior calls, it is absolutely daily hand-to-hand combat for market share there. And we adjust and modulate our reinvestment up or down in any given day, hour, week, month depending upon what goals we're trying to achieve. So we have a very clear view, as I've said before, of how much incremental reinvestment we need to make in order to be competitive and also to make money. And reinvestment has actually been pretty stable over the course of the past several quarters. So again, we're very comfortable with where our promotions are. On the entertainment side, I guess I would have -- this would be kind of a two-pronged response. The first is it is absolutely true that entertainment has been driving visitation and demand. Now when that entertainment is a large-scale arena-based event, it's kind of similar to citywide in Las Vegas. So it tends to affect everybody in the market. And obviously, we benefit from that. We also recognize that we need the capability to drive entertainment. And so this may have been lost a little bit in the midst of time because we haven't talked about it in a while. But -- the largest component of our concession commitment is actually an event center, and we're well underway with engineering and design of that event center. It will be on the north parcel of land that sits there adjacent to the main entry to Wynn Palace. And we're excited about it because it will allow us to program great entertainment and drive visitation.
David Brian Katz: And if I can follow that up, when is that supposed to be completed, active, et cetera?
Craig Scott Billings: Subject to -- as Julie has mentioned a few times, all of that concession CapEx is subject to a bunch of government approvals. So it's a reasonably wide range, call it, early '28, but I would caveat that with we need all of the appropriate government approvals.
Operator: John DeCree with CBRE.
John G. DeCree: Maybe one on Vegas to start, a little nuanced, but maybe priming for a little additional color. So Craig, when you spoke to the midweek, like everyone else being a little softer on occupancy, but you're holding rate. What have you seen on property spend for the customers that are still coming in? Has that been same up, down? Is that holding up and just fewer people are coming in midweek? How would you characterize that?
Craig Scott Billings: Yes. On property spend has been fine. I don't think we should be surprised by that, though. I mean if you look at our second quarter average daily rate, it was actually up 3% from prior year. And so the customer that is on property is willing to pay that rate again in a market where others rates haven't been that high. So the customers that are here are doing -- are behaving the way we would expect them to. Brian, anything to add?
Brian Gullbrants: Yes. Another metric that we follow is all of our luxury retail, and we have significant retail space here, and we continue to see it accelerating. So it's up year-over-year and quarter-over-quarter. So that's also a nice indicator that the top end of the market is still willing to spend discretionary income and spend it here at Wynn.
John G. DeCree: Understood. Maybe one more big picture. It looks like Thailand has quieted down for the time being. And Craig, now that your plate isn't plenty full already, but is there anything else around that you guys are kicking the tires on that looks interesting at the moment as it relates to new markets or new developments other than the kind of projects you've outlined, reinvesting in Las Vegas and Macau and obviously, Iraq?
Craig Scott Billings: Yes. Thanks, John. Our priority -- and again, we've talked about this a little bit previously, but our priority right now is the UAE. And as I mentioned, construction on that project is advancing. Don't forget, we have a whole land bank there, and you shouldn't be surprised over the course of the next year or so to hear us talk about using portions of that land bank. We have a land bank in Vegas. We have a land bank in Boston. So we have a whole bunch of development opportunities that are directly adjacent to our existing resorts. And so to the extent that Thailand goes quiet for an extended period of time or to -- as you saw in New York, we would drew from New York, we have plenty of growth opportunities. But honestly, the amount of work and effort required to get Wynn Al Marjan open is a lot. And so that's where our focus is right now.
Operator: Our next caller is Steve Wieczynski with Stifel.
Steven Moyer Wieczynski: Just one question for me. All my others have been asked and answered. So Craig, if we go back to the UAE and we think about the EBITDAR range that you guys have out there today, which I think is $265 million to $460 million, somewhere around there. And obviously, every day, you're learning more and more about the market, what type of player will eventually come to that market. As you sit here today and think about some of the assumptions, I mean, going back to your October Investor Day, as you kind of think about some of those assumptions that you're using to come up with that EBITDAR range, do you feel like some of those assumptions might end up being somewhat conservative? And I guess this is another way of me asking, do you see upside to that range based on your current day-to-day learnings about the market?
Craig Scott Billings: Yes. Sure, and thank you for the question. Look, we haven't seen a lot of value accreting into the stock for Wynn Al Marjan to date. Now you could argue that it's starting to creep in, awareness is going up. We're doing the analyst visit to the UAE later this year. And history -- I've been in this industry a long time, right? History has shown that you don't tend to get credit until it becomes a little bit more near term. So we're not really incentivized to overplay the market. That being said, when we compiled our projections, we did so assuming there would be multiple competitors in the market. And it looks like we're going to be the only one for quite some time. We noted in our Investor Day that we expected GGR in the market to be $3 billion to $5 billion. You've seen analysts come out with estimates as high as $8 billion. So -- and even if it's a fraction of that size, the absence of near-term competition, I think, introduces conservatism into the base case that we presented at the Analyst Day. I would also add that receptivity to the project has been incredibly strong in and around the region. I mean, I talk to people in India that are aware of it. I talked to people in -- obviously, in the UAE that are very aware of it. And so there's a real excitement for the project. And I think when people see what we're building, they won't be disappointed.
Operator: Our next caller is Robin Farley with UBS.
Robin Margaret Farley: Yes, I have a question about the UAE project, and you kind of answered half of it already just in that last question. You have a competitor that's building a resort in the UAE without gaming approved yet. And so the question is going to be if you anticipate being the only one by the time you open in 2027, which it sounds like you anticipate being the only one. But I guess what's your expectation for how long before another project that's already under construction might -- that you might have that competition?
Craig Scott Billings: Thanks, Robin. Yes, we do anticipate being the only one for some period of time. How long it would take really depends upon if there are regulatory changes, if there are decisions by other Emirates to introduce gaming and how long it takes to get them operational. So that's very hard for me to comment on. What I will say is, keep in mind, we operate in the 2 most competitive gaming markets in the world, and we punch well above our weight. So we presented a base case in our Analyst Day comprised of a management fee and our pro rata share of EBITDAR in the project that was incredibly compelling and it assumed multiple competitors. So to the extent that even that base case plays out, we feel very good about the project. And if we are the sole operator for an extended period of time, then obviously, we feel even better. So yes, we're just fine if they end up being multiple competitors in that market, and we're a lot better than fine if there's not.
Julie Mireille Cameron-Doe: Operator, the next question would be our last one, please.
Operator: Ben Chaiken with Mizuho.
Benjamin Nicolas Chaiken: Another question on UAE, maybe similar to Lizzie's question, but maybe slightly more specific. So you've talked about the different player cohorts in the past. Maybe talk about your current plan to build the pipeline going into this opening. It's obviously been a while since there's been a large opening in a new market. Obviously, you have the casino you purchased in London, but is there a social media campaign? Are you relying on existing international players? Would just love any color on the tactical kind of behind-the- scenes decision-making or thought process.
Craig Scott Billings: This is your second quarter with a great question. So thank you. Yes, we're doing a lot. So one, you mentioned Mayfair. Mayfair is an important part of that. You have a lot of visitation from the region that goes into London and goes into Mayfair specifically. That's important. We have our casino hosting leads already on staff. We are driving awareness with key players in the market. We are present at any number of key events that are happening in and around Europe, India, the Middle East, where you have people who have a lot of know. We have nightlife partnerships structured and ready, and those have a whole premarketing element. And of course, we will be doing a preopening brand campaign to drive awareness throughout the region. That brand campaign will focus really on the property as a luxury integrated resort as opposed to gaming specifically, but we're doing a lot. We recognize this is the first opening under this management team, and we need to be in a position to knock the cover off the ball. So we're doing a whole bunch of things to make sure that we have a very, very strong opening with a lot of heads in beds.
Julie Mireille Cameron-Doe: Operator, apologies. There is one more question out there. I believe Shaun Kelley would like to ask a question.
Operator: And he is actually not responding. So, yes...
Julie Mireille Cameron-Doe: Okay. Well, then thank you, operator, and thank you, everyone, for joining us for the Wynn Resorts Q2 earnings call. We look forward to talking to you again in a few months.